Operator: Greetings, welcome to the IZEA Worldwide Incorporated Second quarter 2019 Earnings. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this conference is being recorded. I will now turn the conference over to your host, Ryan Schram, Chief Operating Officer. Mr. Schram, you may begin.
Ryan Schram: Good afternoon and welcome to IZEA's Q2 2019 earnings call. I'm Ryan Schram, Chief Operating Officer at IZEA and joining me today is IZEA’s Chief Financial Officer, Troy Vanke; and IZEA’s Chairman and Chief Executive Officer, Ted Murphy. Thanks for being with us this afternoon. Earlier today, the company issued a press release with details pertaining to our second quarter performance for 2019. If you'd like to review those details, all of IZEA's investor information can be found on our Investor Relations website, which is izea.com/investors. Before we begin, please take note of the safe harbor paragraph that appears at the end of the press release covering the company's financial results, and be advised that during the course of today's earnings call, our management team will discuss IZEA's business outlook and make forward-looking statements. These statements are predictions based on our team's expectations as of today that are subject to inherent risks and uncertainties and should not be unduly relied upon. Actual events, results or trends could differ materially from our forecast due to a number of factors, including those mentioned in our most recently filed periodic reports with the SEC. The company and our management team assume no obligations to update any forward-looking statements made in today's call. In addition, our update today will refer to certain non-GAAP financial measures, specifically gross billings and adjusted EBITDA. A reconciliation of these measures to the most directly comparable GAAP measure is presented in our earnings release with additional discussion of both of these measures available in our most recent Form 10-K and our forthcoming 10-Q available under SEC filings in the Investors section of IZEA.com. With the appropriate disclosures out of the way, I'm pleased to introduce my colleague and IZEA's Chief Financial Officer, Troy Vanke. Troy?
Troy Vanke: Thank you, Ryan, and good afternoon everyone. I'm pleased to recap with you our results for the quarter ending June 30, 2019. For the second quarter 2019, IZEA reported total revenues of $3.9 million with about $3 million coming from our managed services business and about $900,000 coming from our software-as-a-service or SaaS offerings. This compares with Q2 2018 revenues of about $4.1 million from managed services and about $100,000 for our SaaS offerings. As mentioned in prior public releases and on prior conference calls, we acquired TapInfluence in July 2018. This acquisition combined with strong organic growth of IZEAx has driven a significant increase in revenue from our SaaS offerings for the second quarter of 2019 when compared with 2018. For our managed services business, our overall revenues have decreased due to reduced headcount in our direct sales team. Ryan will discuss our efforts in this area in a bit more detail in just a few minutes. As a percentage of revenue, our cost of revenues exclusive of amortization has improved from 46.8% in Q2 2018 to 46.3% in Q2 2019, or an improvement of about 50 basis points. Our total costs and expenses were $5.86 million for Q2 2019 compared with $5.85 million for Q2 2018. This comparison includes two one-time non-operating items that both contribute to the comparative increase. Specifically, in Q2 2018, we recorded one-time gains associated with adjusting derivatives to fair value and a gain associated with our acquisition costs payable where these two gains aggregate $345,000. Absent these one-time reductions to 2018 expenses, our total costs and expenses would have shown improvement of approximately $330,000 for Q2 2019 when compared to 2018. Our net loss for Q2 2019 was $1.992 million compared with $1,648 million for Q2 2018. Adjusted EBITDA for Q2 2019 was a loss of $1.267 million compared with $1.512 million for Q2 2018. During the second quarter of 2019, we closed on our public common stock offering, raising approximately $9.2 million net of all expenses associated with the offering. With the completion of the recent offering, we have not pre-funded any additional accounts receivable invoices using our line of credit and we are allowing that line to be paid down as previously funded invoices are collected from our customers. The line of credit balance was just under $280,000 at the close of Q2 and has since been paid off completely. Our ending cash balance as of June 30 was about $9.3 million. As you may have read in our recent 8-K filings, the company settled the vast majority of our acquisition costs payable obligations in late July rather than pay a premium of more than 20% on the fair value of the shares to be issued in order to settle the liabilities and cash. The company and its board of directors elected to settle both of these July acquisition obligations using common shares. Now that those obligations are settled and our line of credit is paid off, we have a healthy balance sheet from which we can fund our continuing operations and future investment in our core technology platform. Before I turn the call back over to Ted, as noted within the 8-K announcing our press release, I have announced that I will be leaving the company at the end of August in order to pursue another opportunity. I want to thank Ted, Ryan and the rest of the truly exceptional IZEA team for the wonderful experience and I wish the entire team continued success in all that they do. With that, I'll turn the call over to Ted.
Ted Murphy: Thank you, Troy. We appreciate your time with us and wish you well. We continue to see progress against our goal of having SaaS represent a more meaningful percentage of our customer billings and revenue. During the first quarter of 2018, SaaS services accounted for 18% of our gross billings. That number increased to 54% in the first quarter of 2019 with SaaS services now representing the majority of our customer billings. We began to roll out our SaaS platform, IZEAx, to enterprise customers in the first quarter of 2018. At first, the commitments we asked for were relatively small and we purposely limited the contract length as we evaluated the product fit against each customer type and use case. As we began seeing success, we started increasing contract links as well as pricing. We also began to better understand our ideal customer profile as time went on. As we were refining our own SaaS go to market as IZEA, we acquired TapInfluence in Q3 of last year. This introduced a different product and customer base to the mix. Like all acquisitions, that transaction presented new opportunities and challenges for our team. The addition of TapInfluence instantly equipped us with an incredible customer success organization, who understood the unique needs of an enterprise influencer marketing client. We acquired some impressive core technology from the Tap platform, which our engineering team quickly integrated into IZEAx, dramatically improving the experience for discovery in particular. And, of course, we gained some marquee customers who are the large marketplace spenders. Those customers are ideal customers for IZEA with dedicated influencer marketing team members actively using technology to manage their influencer marketing efforts. However, the acquisition also saddled us with some technical debt to maintain along with some unhappy customers for two core reasons. First, while the Tap platform had some core strengths, it did not received a major feature or functionality advancement in well over a year, far too long in this highly competitive space; this less some Tap customers wanting for support of new types of activations and other features without a feeling of progress for an extended period of time. Second, some customers were either paying too much in licensing fees for their use case or we're just not a good fit for an end to end influencer marketing platform to begin with. These customers likely should not have been sold a license based on their ability to staff the platform. We saw some of these customers churn in Q1 and Q2 as a result, which had an impact on SaaS licensing growth in both quarters. Our last group of pre-acquisition TapInfluence customers is up for renewal in Q3 with most of them coming due towards the end of the quarter. While we do not believe we will see any large customers churn, we do expect that some smaller customers may or will. Our team expects that Q3 SaaS licensing revenue will be larger than Q2 SaaS licensing revenue, but it will not be until Q4 that we get through a full cycle of legacy Tap customers and contracts to understand what our real baseline is as a combined entity selling a single software platform. While we had some challenges, we also had some great wins with some of Tap’s biggest legacy customers, including our first multi-year contract and some wind backs of customers that had churned before the acquisition. The advancements we made with discovery because of the Tap acquisition had been a real difference maker for our sales team, both Managed and SaaS. That includes the new discovery interface, which borrowed heavily from Tap. The introduction of the search just a few months after the acquisition and our credit card driven IZEAx Discovery offering geared towards smaller agencies and brands that don't need a full end-to-end product. The advancements we have made have allowed us to significantly diversify our SaaS customer base. We ended the quarter with just over 100 customers licensing a flavor of our software and expect that number to grow in quantity moving forward, creating more diversity in our customer base and less reliance on any individual customer over time. I'd like Ryan to speak more about our client diversification in our sales efforts. Ryan?
Ryan Schram: Thanks Ted. As IZEA continues to rebalance the business with an increasing ratio of SaaS related offerings, it is important to note that our individual revenue streams have different accounting treatments. managed services and SaaS licensing fees are accounted for as gross revenue, while marketplace fees and legacy workflow result in revenue being recognized net of the amounts paid to our creators. SaaS revenues maybe smaller, but they represent a significantly higher gross margin than managed services. As we continue to transition to business, it's important to recognize that not all revenue is created equal. As Ted mentioned, we're working our ways through both the challenges and opportunities associated with last year's TapInfluence acquisition. Once we're on the other side of that at the end of this year, our team expressed SaaS related revenue to grow substantially year-over-year and each quarter given our emphasis and investment on that business segment. We also remain bullish on the potential for key IZEAx Unity Suite SaaS customers, particularly those that are large brands and agency teams to spend mid-five figures to low-six figures in our marketplace monthly once they got to speed. These marketplace spends will need to grow as we add more enterprise customers and the benefit of this model is that the take rate related to these monies are incremental to the software licensing fees committed annually by the same customers. While SaaS based licensing is typically purchased in 12 months commitments on average. marketplace spends from IZEAx license fees can fluctuate based on seasonality and or business needs of those customers ultimate end clients. For example, amongst our customer base, our large agencies who utilize IZEAx to conduct influencer campaigns for various brand customers of theirs. During Q2 several of those historically large marketplace vendors had delays or spending adjustments related to plant timing or budget swaps out of their control. However many of those same customers indicated that spending should resume growth in the second half. As our SaaS unit matures and scale, IZEA will have better and better forecasting data on how to model these seasonal fluctuations. In our managed services unit, we've seen bookings decrease your-over-year throughout the front half of 2019. This is directly correlated to lesser sales personal headcount in the managed services unit. While the team of over – a third smaller from the year before, managed services bookings in Q2 were essentially flat, a negative three year-over-year. This to those increased efficiency and contribution per-person on key accounts, which we are pleased with. We're also looking to invest more in managed services substantially as a result of our recent fundraise and in light of the growing addressable market for both Managed Service and SaaS solutions. On our fourth quarter earnings call, I announced the creation of IZEA’s professional seller program or PSP. Since February, we've recruited and graduated two classes of new candidates, indoctrinating them in the IZEA way via this full-time immersive sales training program. The first two PSP classes had been geared to supply new talent for our managed services organization, while Class 3, which begins that month. We'll begin to groom SaaS focus sales resources as well. While the professional selling program is not intended to replace our traditional recruiting efforts for experienced sales executives. We believe it can help us build our sales organization much faster than with traditional methods alone. At the end of this year, we expect the overall sales team to double the size it was in the beginning of 2019 setting us up for 2020 and beyond. Now for some additional commentary IZEA’s second quarter and for a second half outlook on the company I'll turn the call back over to Ted. Ted?
Ted Murphy: Thank you, Ryan. As Troy mentioned at the midpoint of Q2, IZEA completed a $10 million public offering. The purpose of that public offering was to provide the capital needed for IZEAs ongoing operations as well as funding our growth strategy by making investments in three key areas; sales, marketing and engineering. We intend to make strategic investments in areas of the organization where we see opportunities to drive meaningful top-line growth and margin expansion, particularly with our SaaS revenue lines. We started to make some of the investments at the end of Q2, but you will see heavier investment in Q3 and Q4. Increased marketing means more differentiation and awareness of IZEA and ultimately more inbound leads for our sales team. Increased sales team size means more proactive outreach and coverage of accounts. An increased engineering spend needs more innovation to surprise and delight our customers. None of these investments will have impact overnight, but we expect all of them to drive growth and operational leverage in future quarters. Our team is working aggressively to take advantage of the opportunity at hand. I remain very encouraged by the progress we are making and I look forward to the back half of 2019 with an even more exciting 2020 ahead. Thank you for spending time with us this afternoon. I would like to open up the call for Q&A.
Operator: [Operator Instructions] Our first question comes from line of Mike Malouf from Craig-Hallum. Please proceed with your question.
Mike Malouf: Hey guys and thanks for taking my questions.
Ted Murphy: Our pleasure.
Mike Malouf: If I could just first focus a little bit on managed services, a little bit of a pullback in the second quarter as you guys talked about. But I'm wondering as you look into the back half, do you think you'll have growth in the back half sort of relative to last year or is that a weakness in the June quarter kind of still affecting the September quarter?
Ted Murphy: We have been off to a really good start here in Q3 with some large customers that have signed very large contracts with us. The biggest challenge that we have right now is – we just have a smaller sales team overall than we did at this time last year. So we are working on that. We do have our PSP classes that have just graduated and are just now starting to carry quotas. But we're not going to see the real benefit from them immediately. So we're still working our way through – through this quarter. I can't really give guidance as to the quarter, but we are – we're off to a good start so far. And certainly for the size team that we have, we are outperforming what – what we've ever done historically. This team is from a contribution standpoint per team member out delivering on a per person basis better than we've ever had.
Mike Malouf: Okay, great. And then as we sort of look at the license – the license fees of the platform and how they are migrating some of their spend over to the marketplace spend. I’m wondering if you could just give us a couple of – a little bit of color on how that process is going. Maybe in particular, at the end of April you announced a Fortune 200 company and a Top 5 public relations firm and today we’re signing up to IZEAx 3.0. How did that trend – and how did that sort of process go and are they starting to spend on the platform now?
Ryan Schram: Sure Mike, its Ryan. We are – we're really pleased to see our new customers not only onboard but sequentially spend more each month. Then like I’d said in my prepared remarks I think what is unique about our model and important for analysts and investors to understand is that we benefit from two different streams of revenue as it relates to SaaS. There's a prevailing SaaS licensing fees, but then also the take rate or marketplace fee of that spend. So you’re not only – did those revenues stack sequentially as we layer on more SaaS customers but those take rates also contribute to revenue as money’s are being spent each month and quarter.
Ted Murphy: Yes. The challenging thing with marketplace spend though is it's – it is very dependent on the individual customer and what their needs are. For those two companies that you mentioned, one is brand-direct and so they are in controlled their budget, but their budget is based on their own sales cycles and their own promotional schedules. And for the other one there is an agency, who is holding to their customers. So we have predictability in our SaaS licensing revenue in terms of what the contracted amount is over time. But for marketplace spends we don't get a lot of visibility into that. At the same time we are seeing from those customers, and those two big customers in particular that there's been some pretty meaningful spend there and we're seeing both of them ramp.
Mike Malouf: Okay. And then just a final question. Can you comment a little bit on seasonality and how you think as you look to build out the SaaS business? At least maybe how seasonal the marketplace spend for your customers might be in the December quarter?
Ted Murphy: Yes, I mean we’ve been doing this – this is our second year but if you look at last year we certainly saw it pick-up in Q3 and Q4. We believe that that's going to be the case this year as well based on what our customers are telling us. The customers that were slower in Q2 have either already started to increase their spend or indicated that they plan on increasing their spend. So we feel pretty good on that front that both Q3 and Q4 should be sequentially better than, than Q2.
Ryan Schram: And...
Mike Malouf: And I'm sorry, just one more final question. You announced a pretty significant share buyback. Just kind of wondering if you could comment a little bit about the strategy around that and you haven't done anything yet, so I'm just kind of wondering, what’s your plan there?
Troy Vanke: So this is Troy. Just as a reminder that was announced at the very beginning of July and because it wasn't implemented at a time where there was an open trading window that share buyback program is – is subject to the same trading restrictions as any senior management. So the trading window has been closed to the duration of that program thus far. At this point when – if and when the trading window opens, now that the quarter is done, it would certainly be something that the Board would have to look at the company and the market dynamics and determine whether or not there's appropriate time and volume of shares to buy back onto that program.
Mike Malouf: Okay. Thanks a lot for the help.
Ted Murphy: Thank you.
Operator: [Operator Instructions] Our next question comes from the line of Jon Hickman from Ladenburg Thalmann. Please proceed with your question.
Jon Hickman: Hi. Could you, I don't know Ryan or Ted could you quantify for us a little bit what the churn in from the top influencer customers cost you in Q2?
Ted Murphy: Okay. No, that's not a number that we've put out there.
Jon Hickman: Okay. Can you – you said that there might be a little more of that in Q3. Would that be a smaller amount?
Ted Murphy: Yes. We would expect that to be a smaller amount in Q3.
Jon Hickman: So – and then I want to drill down a little bit on what Mike said or Mike asked. So as you – as these customers – you talked about two of the larger ones, but customers in general would license to software. How long will it take them to like get trained and to knew really know what they're doing and as they get to know more what they're doing, do you see a commensurate kick-up in marketplace spend, like the longer they have it or are they using them more?
Ryan Schram: That's the general thesis. I didn't just do it back to Ted's remarks before John heads Ryan, by the way, that we have different use cases for different customer types. Customers who happened to be inside of brands and have a dedicated team or a history of spending in many cases this is to add a velocity, efficiency to their existing model where we have other customers who may be agencies and those demands for spend maybe more campaigns specific and therefore more lumpy across the calendar year. What our intent is that over time, especially as we add more customers to be able to have a better sense of what seasonality can look like and whether or not that's correlated to a traditional marketing calendar or not. One that I would say though is as it relates to onboarding and training, regardless of customer type the great thing happens to be that we have the resources to be able to equip brands and agencies a light to come up to speed, frankly as fast as we'll let them, whether that happens to be side by side training or other resources. And that's beyond of course the fact that the platform is pretty easy to use and straightforward for those that are influencer marketing professionals.
Ted Murphy: Yes, the other thing that I'll note there, John, is that we have very different types of customers who use the platform in different ways. And some of those customers are compensating influencers in cash and others are compensating them in non-cash. So, you know, as we onboard brands and agencies, we also have to take that into account, some of them are focused on that cash compensation and others are not.
Jon Hickman: Do you still get paid if they're not using cash?
Ted Murphy: No, we do not get paid if they're not using – if they're not using cash. If they're not running cash through the platform, we do not get a marketplace fee, but we're getting our licensing fee.
Jon Hickman: Okay. Okay, thanks.
Ted Murphy: You're welcome.
Operator: Our next question comes from the line of Nick Brinker, a Private Investor. Please proceed with your question.
Nick Brinker: Thank you. Hey, everybody. So one of my first questions for you guys is in terms of attracting new customers, one way would be through offering a large quantity of high-end influencers. So I was just kind of curious so I can understand how you guys are advertising to customers, but I was wondering how you're advertising to influencers in order to kind of build up your user base because the more influencers you have, the more likely your customers will want to go to IZEA versus a competitor?
Ryan Schram: Hi, Nick. It's Ryan. As it stands right now based on the number of connections that are in IZEAx introduced suites to our knowledge if that's one of the largest marketplaces in the industry, if not the largest. And so size for us, while we're always looking to add folks to it, has actually never been our issue. Our issue frankly is being able to drive more customers in a different way. In a different way what I mean by that is in being able to bring different types of value to the equation of why they'd want to work with IZEA. So, for example, customers or clients that have no internal resources or a needing strategy help often gravitate to our managed services offering because it uses the power of IZEAx to introduce suite, but does the work for those brands or those agencies, whereas the use case obviously for folks who are looking for an enterprise grade software solution, being able to license that software and do it for themselves can be equally attractive. One of the things that I think is really unique about IZEA and opportunity for us long term that we've been hearing from brands in particular is the fact that we have duality to our business. The fact that we offer the ability to do both managed services and provide enterprise grade software and interchange those to provide flexibility, especially for very large corporations, who may need that between different brands inside those organizations is very important. But to answer your question going back to the marketing tactics and just put a bow on our response to you, we've also been making strategic investments in two areas of marketing to drive more customers for both of our units. One is differentiation marketing to really help brand and agency marketers understand the uniqueness of IZEA and that's largely taking digital forms. And then secondarily is what we're kind of calling surprise and delight. The IZEA everywhere campaign, which are very location targeted out of home units. You may have seen them in fact at airports like LaGuardia or around New York City outside of large brands and large agencies. And again, the idea here is to really breakthrough in a very B2B location centric way for folks who are making decisions in our category and who have the budgets quite frankly to spend the largest amounts in the influencer marketing industry.
Nick Brinker: Okay, thank you. I appreciate the response.
Ryan Schram: You're welcome and that's the question.
Nick Brinker: Yes. And I have one more question actually. So with the recent round of equity offering, just curious on how you guys plan to use those funds maybe to expand the business and just if you could outline again maybe your plan for using those funds. I know you touched on it in the last conference call, but just a little more color now as we progress into Q3.
Ted Murphy: Yeah, it's – this is Ted. It's really in three core areas: sales, marketing and engineering with the majority of the spend going into sales and marketing. We are ramping up our head count in the sales organization both in SaaS and managed services. That's going to come through our traditional recruiting efforts as well as additions through our PSP program. We think that we're at a rate now where we're going to be able to recruit classes of 10 people at a time, three times a year, and hopefully retain 50% to 60% of those people and actually graduate five or six sellers each three to four month period. On the marketing side, we have gotten much more aggressive than what we're doing with our marketing efforts. We will be spending more heavily in areas of research as well to create more industry awareness of what we're doing. That includes also things like trade shows and PR efforts. And then we will be bolstering the engineering team a bit as well to allow us to get through some through some major milestones that we've identified for new product features.
Nick Brinker: Okay, very good. I appreciate that. Yes, I agree that seems like a pretty good plan, especially expanding the sales force. I feel like that's definitely the next key step. And then the last point, I guess, could you just touch on the future of your technology platform? So, right, you just released the IZEAx 3.0. Is there anything else coming up in the future we should be looking towards that we'll be expanding on your technology there?
Ted Murphy: Yeah, we have a number of initiatives that we're working on right now. I mean, for us software has never done. And we've got some additional core features that we're going to plan on announcing over the coming quarters.
Nick Brinker: Okay, thank you guys. I appreciate it.
Ted Murphy: Thank you.
Operator: We have reached the end of the question-and-answer session. And I will now turn the call over to Ryan Schram for closing remarks.
Ryan Schram: We’d like to thank everybody for joining us this afternoon. And as a reminder, all of our investor information is available on our Investor Relations website at izea.com/investors. Thanks again and have a great evening.
Operator: This concludes today's conference and you may disconnect your lines at this time. Thank you for your participation.